Operator: Greetings and welcome to the Oshkosh Corporation Fiscal 2015 Third Quarter Results. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Pat Davidson, Vice President of Investor Relations for Oshkosh Corporation. Thank you, Mr. Davidson, you may now begin.
Patrick N. Davidson - Vice President-Investor Relations: Thanks, Rob. Good morning, everybody, and thanks for joining for us. Earlier today, we published our third quarter 2015 results. A copy of the release is available on our website at oshkoshcorporation.com. Today's call is being webcast and is accompanied by a slide presentation, which includes a reconciliation of non-GAAP to GAAP financial measures that we will use during this call, and is also available on our website. The audio replay and slide presentation will be available on our website for approximately 12 months. Please refer now to slide 2 of that presentation. Our remarks should follow, including answers to your questions, include statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to be materially different from those expressed or implied by such forward-looking statements. These risks include, among others, matters that we have described in our Form 8-K filed with the SEC this morning and other filings we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly earnings conference call, if at all. All references on this call to a quarter or a year are to our fiscal quarter or fiscal year unless stated otherwise. Our presenters today include Charlie Szews, Chief Executive Officer; Wilson Jones, President and Chief Operating Officer; and Dave Sagehorn, Executive Vice President and Chief Financial Officer. Please turn to slide 3, and I'll turn it over to you, Charlie.
Charles L. Szews - Chief Executive Officer & Director: Thank you, Pat, and good morning. Today, we announced third quarter earnings per share of a $1.13. These results did not meet our original or revised expectations. We also reduced our adjusted earnings per share estimate range for 2015 $3 to $3.25. We're disappointed in these short-term developments. We'll talk more about what happened and actions we'll be taking. But let me first focus shareholders on the big picture, which remains positive. We expect our defense segment to provide meaningful earnings growth in 2016. We expect to finalize international M-ATV contracts this quarter and next quarter, which include substantial volume requirements for 2016. We believe the magnitude of the expected return of growth in our defense segment, coupled with expected improved performance for our commercial and fire & emergency segments will be sufficient to more than offset a dip in access equipment demand that impacted our third quarter results and which we believe will extend through 2016. So while we are experiencing a pause in our earnings recovery in the second half of 2015, we believe it will be short-lived, as we expect a return to solid EPS growth in 2016. Our commentary today will address current market conditions as well as fill in important details regarding our positive 2000 (sic) [2016] outlook, specifically regarding our defense segment outlook. We'll provide more specific estimates for 2016 in late October. So what happened in our third quarter? Demand signals were strong entering in the quarter, but heavy rains across the Southern U.S. in May delayed construction starts in ongoing projects. For instance, Texas, a very large market for access equipment, endured record May rains and extensive flooding. These rains, along with reduced demand from lower oil and gas rig counts, appeared to have led to softer utilization rates and stagnant rental rates for a couple months for some of our customers, with these metrics holding up a little better for access equipment. This unfortunately led some customers to withhold orders we had expected in the quarter. We also believe potential industry consolidation among independent rental companies slowed some order flow for JLG, and we experienced some modest delivery delays with several new product launches. On mid-June, we updated investors regarding access equipment market conditions, as we saw them and revised our EPS estimates downward. Unfortunately, orders anticipated for late June shipments did not materialize as expected, or they arrived too late to ship in the quarter, and our new product launch delays continued. Now, we're largely back on track in late July with new product deliveries but have a few more new products to launch in August. Given the disappointing results in the third quarter, we worked with our access equipment team in July to set the direction of access equipment markets globally. Overall, we believe access equipment demand remains solid. However, we now believe that a shortened construction season in the U.S. from severe weather over the last two quarters, along with the impact of lower oil and gas prices on rental fleet utilization, among other factors, are leading rental companies to reduce access equipment purchases from our earlier expectations for 2015. This led us to further reduce our 2015 adjusted earnings per share estimates today to $3 and $3.25. Now, our other segments met our expectations in the third quarter, and we expect they will meet prior earnings expectations for the full year. And as I said upfront, we expect meaningful earnings growth in our defense segment to lead to solid EPS growth for the company in 2016. So given the recent decline in our share price, coupled with our confidence in the longer term outlook for Oshkosh, our current plan is to repurchase shares in the coming month. Dave will talk more about share repurchases in a few moments. Please turn to slide 4 for a discussion of our positive outlook for our defense business. The past few quarters, we projected our defense segment earnings to be at a trough in 2015. We expect to meaningfully grow both revenues and operating income in the segment starting in 2016. Tangible evidence of that expected growth can be seen in the backlog for this segment, which grew for the first time since the fourth quarter of 2011. The 38% increase in backlog compared to a year ago is certainly a welcome addition, and it doesn't yet reflect a significant international M-ATV orders that we are pursuing. The backlog increase is largely a result of receiving FHTV and FMTV orders from the government's FY 2015 budget. During the quarter, we finalized a new five-year contract with the U.S. Army to recapitalize FHTVs. This will allow us to begin shipping units in the fourth quarter of 2015, fiscal quarter that is, after a six-month break in production. We have stated, beginning in October 2014, that achieving our 2015 EPS estimates required an international contract to be executed in time to achieve revenue recognition of a modest quantity of vehicles in our fourth quarter. We believe we are within days of executing that contract for a few hundred international M-ATVs, of which we still expect to ship 150 units by the end of our fourth quarter. Given very tight timing for ocean shipment and vehicle acceptance in country, our ability to achieve revenue recognition in our fourth quarter is too close to call for these 150 units. As a result, to be conservative, we've removed the 150 international M-ATVs from our defense segment earnings estimates for 2015. But based on other initiatives, we expect to achieve our previous 2015 earnings estimates for the segment. Also, we continued to make significant progress in our pursuit of a few thousand additional international M-ATVs for delivery over a multiyear period. Specifically, we made important progress on the follow-on contract for over 1,000 M-ATVs, a majority of which we believe will be for delivery in fiscal 2016. We expect to finalize entry into this contract during our first quarter of fiscal 2016. We also now believe additional contracts aggregating a couple thousand M-ATVs or more could be entered into later in fiscal 2016 for shipments beginning in 2017. These M-ATV opportunities are a primary reason for a positive outlook for the company as a whole in 2016 and 2017. Unfortunately we were recently informed that we're not awarded the MSVS contract in Canada. While we're disappointed, this loss does not have a significant bearing on our overall outlook for the defense business. Finally, let me make just a few brief comments on the JLTV program. Last evening, we submitted our Final Proposal Revisions for the program. Our JLTV offering provides next generation mobility and survivability to our troops at a fair value. I'm very proud of our team's efforts to compete for this program. We look forward to the contract award announcement which we now expect will be made in September. I'll now turn it over to Wilson to discuss our non-defense segments, please turn to slide 5.
Wilson R. Jones - President & Chief Operating Officer: Thanks, Charlie. Good morning, everyone. Charlie described the number of challenges we faced in the access equipment segment during the quarter along with our revised outlook for 2015. I would like to emphasize that we believe the fundamental drivers of this business are solid. In the U.S., we expect residential and non-residential construction spending to continue to rise slowly over the next few years driving rental fleet demand for access equipment and we expect rental company operating metrics to remain strong. Outside the U.S., we believe replacement demand will moderate in Europe, following the surge in replacement demand in a few countries in 2015. In other regions of the world, we believe product adoption from increased safety requirements and productivity demands will support healthy industry volumes. So what does this mean for 2016? In the U.S., which currently represents approximately 75% of our access equipment sales, we believe that rising construction activity will lead to higher demand for access equipment. However, as Charlie stated, we now believe this construction-driven demand will not be enough to fully offset likely reduced replacement demand in 2016, resulting from very low industry purchases in 2009 and 2010 leading to an approximate 5% to 10% sales decline in the U.S. in 2016. Overall, outside the U.S., we currently expect access equipment sales to decline at a similar 5% to 10% rate in 2016, with some areas experiencing higher demand and other areas declining. It is still early, and we will continue to refine and update our view of 2016 prior to our next earnings calls, but we believe we're in the ballpark of expected demand. So as we focus attention on the big picture, we believe we will deliver earnings per share growth in 2016 despite an approximate 5% to 10% sales decline in our higher margin access equipment segment. We believe our MOVE initiatives will enable us to reduce cost efficiently to offset a meaningful portion of the earnings impact of the expected access equipment sales decline. Further, we believe the magnitude of the earnings from the expected return to growth of our defense segment will be significant. And we expect improved results in our fire & emergency and commercial segments. Taking together, we expect these to deliver solid earnings per share growth in fiscal 2016. Let's turn a discussion of the impact of lower 2015 sales expectations on inventories and cash flow. Previously we implemented a plan to level-load our factories over the course of the year, allowing us to better manage the inefficiencies associated with the seasonal production swing. Given our lowered outlook for the remainder of year in this segment, inventory is currently higher than we would like it to be. So, we are taking prudent actions to reduce our inventory, which will result in reduced absorption in the coming months and in 2016. The impact of this is reflected in our updated outlook for this segment. We expect that this rebalancing and other factors will provide a meaningful lift to our free cash flow in 2016. Finally, as an indication of our confidence and the outlook for this business, we concluded a small acquisition in the quarter of Power Towers, a United Kingdom low level access business with annual sales of approximately $10 million. Low level access is a rapidly growing niche in the access equipment market and we're very pleased with the Power Towers' team to join our company with their innovative product line. Please turn to slide 6 for some comments on our fire & emergency segment. Progress continued in the fire & emergency segment as we delivered higher operating income margins again this quarter. We separated our primary vehicle assembly line in Appleton into two lines as part of our objective of improving operating efficiency in the segment. We are pleased with the results so far, but it is still early and I want to reinforce, this is a long-term process for accomplishing lasting change. We continue to expect modest growth for the North American fire apparatus market in 2015, driven by the impact of slow economic growth. However, Pierce's order rate has grown faster than this, as we believe Pierce's share is increasing, partially due to its steady cadences from new product introductions. In conjunction with that, it was a good quarter for trade shows and new product announcements for both the Fire Department Instructors Conference show in April and the Interschutz show in June. We launched the revolutionary single rear axle 107 foot aerial ladder truck, the Ascendant in April. And we announced the Oshkosh XP fire apparatus, which is designed to meet the needs of fire products in leading markets outside North America. Our dealers are particularly excited about the Ascendant, which offers greater reach and turning radius at an attractive price. Please turn to slide 7 for an update on our commercial segment. Both refuse collection vehicle and concrete mixer sales grew in the quarter. RCV sales grew approximately 40% during the quarter versus the prior year. Like the U.S. fire truck market, the U.S. RCV market is benefited from the impact of the slowly improving economy. Cities and towns across the U.S. are in much stronger to financial conditions and they are spending their funds responsibly as older units are finally being replaced. Additionally, we are seeing a steady supply of private haulers replacing older units. We have also been gaining share in RCVs. We've accomplished this by introducing a steady stream of new products, including our most recent new products, the lighter weight Meridian front-end loader. First shown to our customers last month at the WasteExpo show, the Meridian delivers optimal payload and weight balance with McNeilus quality and durability, so our customers know they are going to be able to earn greater returns, for longer uptimes. The Meridian won't ship in volume until early next year, but we are already receiving orders for this innovative new product. When you couple the strength of recent new product launches, including split bend rear loaders and the revamped automated Zero Radius side loader units launched in 2014 with a slowly growing market, you can understand why we have a positive outlook for our RCV business. Concrete mixer sales have been solid this year including up double digits in the third quarter, but similar to the access equipment segment, we saw a slowdown in orders during the quarter as construction has been slowed by weather conditions in the U.S. We remain bullish on this market long-term because there are still plenty of opportunities for housing starts to improve, non-residential construction to grow, and infrastructure updates to be made. However, we do expect to see some choppiness in the short-term which we believe we will offset with improved RCV demand. We're confident that our team is making the right moves to navigate this very competitive market in North America. I'm going to turn it over to Dave now to walk us through our financial results.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Thanks, Wilson and good morning, everyone. Consolidated net sales for the third quarter were $1.61 billion, a 16.6% decrease from the third quarter 2014. On a constant currency basis, sales declined 14.7% compared to the prior year quarter. Sales were up year-over-year in the commercial and fire & emergency segments, partially offsetting declines in the defense and access equipment segments. The higher commercial segment sales were led by strong RCV unit sales and to a lesser extent, higher concrete mixer sales driven by a higher mix in packaged units. The increased fire & emergency sales were driven by a shift to higher content fire trucks and higher shipments of airport product units. Sales decline in defense was a result of the continued break in production of FHTV units, lower FMTV requirements and no sales of international M-ATV units in the quarter. Sales in the access equipment segment were down 10.3% or 7% on a constant currency basis, the decrease concentrated in North America. Consolidated operating income for the quarter was $136.6 million or 8.5% of sales compared to adjusted operating income of $175.3 million or 9% of sales in the third quarter of 2014. Operating income in the commercial and fire & emergency segments was higher than the prior year, largely as a result of higher year-over-year sales with operating income margins in the commercial segment being negatively impacted by ongoing investments in MOVE initiatives. Lower operating income in the defense and access equipment segments compared to the prior year quarter was largely the result of lower sales volume. Access equipment segment results were also negatively impacted by unfavorable foreign currency and production inefficiencies related to several new product launches. Lower incentive-based compensation as a result of lower full year expectations for this segment than previously anticipated, partially mitigated the earnings decline. Corporate expenses were lower than the prior year as a result of the impact of reduced full year earnings expectations on incentive compensation. Additional information related to segment third quarter financial performance can be found in the appendix to this morning's slide deck. Earnings per share for the quarter was $1.13 compared to adjusted earnings per share of $1.23 in the third quarter of 2014. Current year quarter results include $0.09 per share benefit related to tax audit settlements and expirations of statutes of limitations. The current year quarter also benefited $0.09 per share from a lower share count as a result of our share repurchase activity over the past year. Both of these benefits were expected and were included in our previous outlook for the third quarter and the full year. Foreign currency exchange negatively impacted current year quarter earnings per share by $0.11. Please turn to slide 9 for an update of our 2015 full year outlook. Our updated adjusted earnings per share estimate range of $3 to $3.25 represents a 10% to 17% decline in 2014 adjusted earnings per share. The reduction in our full year outlook is wholly related to the reduced outlook for the access equipment segment. The other three segments exited the quarter with higher backlog compared to the prior year, which we view positively. We had previously expected the continued strength in the access equipment segment and continued improve in the fire & emergency and commercial segment would overcome the expected significant decline in sales and earnings in the defense segment in 2015. Changes to our outlook for the access equipment segment include- lowering our full year sales outlook to approximately $3.4 billion compared to our previous estimate range of $3.7 billion to $3.8 billion. Sales of $3.4 billion in this segment would represent an approximate 3% year-over-year sales decline or approximately flat on a constant currency basis. We're also lowering the full year operating income margin estimate for this segment to approximately 12.8% compared to a previous estimate of approximately 15%. The reduction in expected sales versus our previous estimates is more heavily weighted towards aerial work platforms, which have higher margins, leading to a larger incremental margin on the sales decline than would normally be expected. You may recall that we had a higher mix of telehandlers in the first half of the year, driven by timing of new engine emission standards for telehandlers, which were effective at the beginning of this calendar year. We were expecting a higher mix of aerial work platforms in the second half of the year, leading to a full-year product mix similar to what we experienced in 2014. We now believe that this segment will have a lower mix of aerial work platforms in 2015 compared to the prior year. In addition, production inefficiencies related to several new product launches and lower absorption related to planned production rate decreases will also negatively impact full-year operating income margins compared to our prior estimates and the prior year. We reduced the defense segment sales estimate compared to our previous estimate to reflect this shift of revenue recognition on the 150 international M-ATVs that Charlie discussed. We still expect operating income to be slightly above breakeven, however, reflecting better-than-expected third quarter results and operational performance above our prior expectations. We're also reducing our corporate expense estimate range to reflect lower incentive compensation expense as a result of our lowered earnings expectations for the year. Our capital expenditure estimate for the year remains unchanged at approximately $150 million as a result of lower expected earnings and expected slower drawdown of inventory in the access equipment segment and a later than previously expected shipment of international M-ATVs in the quarter, which will push collection of the cash for these sales from late in our fourth quarter to the first quarter of 2016. We're reducing our free cash flow estimate for the year to a usage of approximately of $150 million. While not what we had originally expected, the shift in timing should result in higher free cash flow in 2016 than would have otherwise been expected. Our full-year diluted share count assumption remains unchanged at $79.5 million. As Charlie noted, we do expect to become active again on the share repurchase front. We don't expect this to have a meaningful impact on 2015 full-year average share count given that we're already 10 months through our fiscal year. This would, however, have a more meaningful impact on 2016 full-year share count. I'll turn it back over to Charlie now for some closing comments.
Charles L. Szews - Chief Executive Officer & Director: As I said at the outset of this call, we are disappointed with our third quarter results and our change in outlook for the remainder of 2015, but we have reason to be positive. We expect a strong recovery in our defense business, supported by improving performance in both our commercial and fire & emergency segments to lead to solid earnings growth in 2016 and beyond. That concludes our formal comments. We're happy to answer your questions. I'll turn it back to over to Pat to get the Q&A started.
Patrick N. Davidson - Vice President-Investor Relations: Thanks, Charlie. I'd like to remind everybody, please limit your questions to one plus a follow-up, and after the follow up, we ask you to get back in queue if you'd like to ask an additional question. Rob, let's please begin the question and answer period of this call.
Operator: Thank you. Our first question is from the line of Eli Lustgarten with Longbow. Please proceed with your questions.
Eli S. Lustgarten - Longbow Research LLC: Good morning, everyone. Just a clarification, you talk about share repurchase, first can we talk about magnitude of share repurchase, or what you intend to do?
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Sure. Eli, we've got about 2.9 million shares remaining on our current authorization. We expect that we will reacquire at least that amount and probably go back to the board for an update or refreshing of the authorization. But in the coming quarters, I guess I would say, we're probably looking $100 million or more over the next several quarters.
Eli S. Lustgarten - Longbow Research LLC: Okay. Okay. Thank you. Can you talk about the magnitude of the defense upturn that you're looking at in that? I guess we're talking about a few hundred million dollars in revenue, I assume. We're talking about mid-single digit operating margins, and I guess the real bottom line, we went from over $4 expectation to $3.75 to $4 now to the low $3's. How far – how much of the ground do you think you can make up in 2016 versus 2015 today, just driven by the – with the help of defense as you think about next year? I mean, can you get all the way back towards the $3.75 to $4, or is that still a stretch?
Charles L. Szews - Chief Executive Officer & Director: So, Eli, you've got a lot of questions.
Eli S. Lustgarten - Longbow Research LLC: Well, you only gave me two. Give me a break.
Charles L. Szews - Chief Executive Officer & Director: No, I think, you had about five or six in there, but anyway let's get started. We're in advanced stages of negotiations for these international M-ATV contracts, all right? And the advanced stages of the approval process. The first few hundred vehicles should be executed in days, real short term here. The second contract for over 1,000 vehicles has been forwarded up the approval process. Given our knowledge of that process, and historical timeframes to flow through all those remaining steps, we'd expect a contract in the first quarter of fiscal 2016, but it could still happen in our Q4. I mean, so, this is a process that is not – that can move at different pace depending upon what's going on inside the dynamics in the country, but for purposes of our comments today and our outlook for 2016, we would assume that we're going to – we will execute a contract in the first quarter. When you combined these two contracts, we're talking meaningful number of M-ATVs in 2016, and many of these are extended wheelbase, they are variants with a lot more content on them. So these are relatively substantial vehicles. We've said for some time these are a good margin business, and we're not going to say a whole lot more than that.
Eli S. Lustgarten - Longbow Research LLC: Are these a $0.5 million apiece business, machines?
Charles L. Szews - Chief Executive Officer & Director: Vehicles, yes. Absolutely.
Eli S. Lustgarten - Longbow Research LLC: But I guess the real question is how much of the ground do you think you can make up from the double shortfall that we now have this year?
Charles L. Szews - Chief Executive Officer & Director: Okay.
Eli S. Lustgarten - Longbow Research LLC: I'm not looking for precision.
Charles L. Szews - Chief Executive Officer & Director: And I'm not going to give you precision, but there – I want to give you the background that we do have real substantial contracts in queue. There are actually more beyond that that I mentioned in our prepared remarks that would hit 2017. Now, our view of 2016, there's still some items that are in flux, right? So we still haven't had – we don't have a definitive view on access equipment demand in 2016. It's early for our customers to talk about things like that. We've heard relative commentary, we can see replacement demand probably coming down because of 2009 and 2010 were lighter years in terms of industry purchases, all right. So we need to get a little bit better sense of that, but right now our view is it's 5% to 10% down in sales in access equipment segment. We're down 3% this year 5% to 10% next year. That feels in the ballpark, anything much more than that and we're talking recession, we're not hitting a recession next year, there is signals whatsoever. Construction demand is up, industry fundamentals are strong, rental company metrics are strong and all of that. All right, now the exact date that we sign and execute some of these international contracts also has a view of how many vehicles that we're going to get in 2016. So, I've got – until we get those contracts signed, I can't be extremely definitive. But pulling it together, our early view is, solid EPS growth would mean low double-digit EPS growth from 2015. Then on the high-end, our EPS could reach our Analyst Day EPS target for 2015 just a year late. So it's a broad range, I know that. We're going to narrow it in October, but it's a function of really executing a couple of contracts, knowing exactly how many vehicles we're going to get in 2016 and such. So, but overall, we feel very good about our ability to deliver EPS growth next year. We also have lots of initiatives inside our business to continue to take cost out of business. We've been saying for a long time that our biggest benefit of our O initiatives come in 2016 and that still is true. So, we think we can mitigate a lot of the sales decline in access equipment through cost reduction and then we've got lots of opportunities in defense to grow from there and of course we still have a good positive outlook for commercial and our fire & emergency segment. Our fire & emergency segment, for example has very significant backlog relative to prior year and this backlog extends out nine months maybe 10 months. It's probably longer lead times than we've had in years. And so, we see very nice backlog for that segment going forward as well.
Eli S. Lustgarten - Longbow Research LLC: All right. Thank you very much. I'll let somebody else go.
Patrick N. Davidson - Vice President-Investor Relations: Thanks, Eli.
Operator: Our next question is from the line of Jamie Cook with Credit Suisse Group. Please go ahead with your questions.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Hi, good morning. I guess just a clarification, you talked about the access inventory in the channel on the AWP side, I'm just wondering if you could quantify sort of what that number is, and I think you said you'll get it out between now and the beginning of 2016 is that sort of a first quarter 2016 event. And then, just broadly, one of your peers talked about the pricing environment, which seems rather competitive, again, just trying to get your – more color on what you're seeing in the market given the excess inventory. Thanks.
Charles L. Szews - Chief Executive Officer & Director: Okay. Let me get started and then both Dave and Wilson will provide some more color. First of all, when you look at our inventory build, you got to recognize that half of it relates to our defense business.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay.
Charles L. Szews - Chief Executive Officer & Director: I think the people are over projecting the impact of our inventory build in access equipment. And a lot of that inventory, we're going to be shipping here in our fourth fiscal quarter, not sure on when the revenue recognition is, we've said it's too close to call, so we conservatively said next year in terms of our earnings recognition, it could happen this year. All right. So that's a lot of the inventory right there. And then, on the other hand, we're going to have some substantial working capital requirements in defense through the multiple contracts that we're talking about here going forward as well. So, in our defense business, you're going to see our inventory levels relatively high for some period of time and that's a good thing, because we're going to be generating a lot of earnings for the company. On the pricing side, I'll let Dave talk more about, where we are in terms of leading of inventory in access equipment, but it'll take us several months to get there, but we will do in a rational manner. Pricing, I would say that most of the pricing stress or whatever in the marketplace is focused in Europe, a little bit in Asia. Why? You can see the exchange rate impact this year, people taking advantage of that. Some of their markets, home markets for some of our competitors are in stress. And so, they have had to deploy their inventory around the rest of Europe and the region. So, let's say that we've seen more dislocation price there. The rest of North America, it's always competitive, but it's more rational and would be our intent to retain rational pricing for sales going out into 2016. So...
Wilson R. Jones - President & Chief Operating Officer: Jamie, this will...
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Thanks.
Wilson R. Jones - President & Chief Operating Officer: ...I'll jump in here. Just to be clear on the access inventory that we have, it's not in our forecast to sell all that this quarter. We are going to be orderly about that. We believe we have good inventory, it's in the sweet spot of the market. So, we're going to be disciplined with that and sell that appropriately.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): All right. Thank you.
Operator: The next question is coming from the line of Ann Duignan with JPMorgan. Please go ahead with your question.
Ann P. Duignan - JPMorgan Securities LLC: Hi, good morning. I'm giggling here to myself, because good inventory sounds like an oxymoron usually. Can we talk a little bit about the defense business? Could you tell us just will these products that are in the backlog – will these be milestone payments or will there be bill upon ship? Just want to know how the model run?
Wilson R. Jones - President & Chief Operating Officer: Mostly, Ann, still on international business, it's bill upon ship and in some instances, it's – when it rise in port is when we will get revenue recognition. So that starts the clock ticking from a payment standpoint.
Ann P. Duignan - JPMorgan Securities LLC: Okay. That's helpful. Thank you. And can you give us a little bit more color on both your commercial and your fire & emergency businesses going into 2016? What are the headwinds and the tailwinds that you are factoring into your outlook?
David M. Sagehorn - Chief Financial Officer & Executive Vice President: On the fire & emergency side, it's a good story. The municipal budgets are strengthening, housing is driving, municipal tax receipts. So we continue to see good activity. And I talked a little bit about how our fire apparatus company, Pierce had gain some share, some really good new product introductions that are going to kick in 2016 for them. So we see a positive outlook for them. Again, it's a story of continuing to focus internally and drive operational efficiencies and they continue to win in the marketplace like they've been doing. On the commercial side, the really high note for us there is refuse collection vehicles. That market is again following some of municipal indications like a Pierce or a fire business does. So we're seeing good activity around the refuse collection vehicles which is our higher margins in the segment. Mixers, we're bullish on that, but it's choppy. The ready mix customer is working through weather issues, CapEx issues. So we have a positive outlook for mixers, but we do caution it has been choppy.
Ann P. Duignan - JPMorgan Securities LLC: Okay. That's helpful. I leave it there. Thank you.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Thank you.
Patrick N. Davidson - Vice President-Investor Relations: Thanks.
Operator: Our next question is from the line of Pete Skibitski with Drexel Hamilton. Please go ahead with your question.
Peter John Skibitski - Drexel Hamilton LLC: Yeah, I just wanted to understand the international M-ATV, the first shipment, I guess is my first question. So in guidance, are you basically expecting to ship and book 150 in this quarter and the last 150 in the first quarter or have all 300 slid to the first quarter?
Charles L. Szews - Chief Executive Officer & Director: So in our estimate range of $3 to $3.25, we have assumed that all of the units of this first contract shipping our first fiscal quarter. Having said that, it's not a done deal, it's too close to call and because it's too close to call, we took it out of our estimates in the fourth quarter, but it's still possible.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Pete, maybe just one clarification there. So the rev rec all in the first fiscal quarter, we actually expect that we're going to have units on the boat on the way yet this fiscal year.
Peter John Skibitski - Drexel Hamilton LLC: Right. Okay. Okay. And then, just on your thoughts on access next year, I think some of those was touched upon, but how much are you assuming in terms of lower units versus lower pricing? And are you assuming AWPs and telehandlers decline at the same rate or is there – does one side face more headwind than the other?
Charles L. Szews - Chief Executive Officer & Director: Pricing in 2015 is relatively flattish for us, in terms of volumes, our basic assumption is that both categories booms, telehandlers are down a little bit, scissor is up.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: Yeah, hopefully, Pete, we get back into this year, we're ending up with a lower percentage of booms than we anticipated, given the focus by customers in the first half of the year on telehandlers and as they brought their CapEx outlook down late in the year when we had anticipated a higher mix of booms late in the year. We believe that we will get back into a more normal balance next year as a lot of this engine emission driven mix change is behind us.
Peter John Skibitski - Drexel Hamilton LLC: Okay. Thanks.
Operator: Our next question is from the line of Tim Thein with Citigroup. Please go ahead with your question.
Tim W. Thein - Citigroup Global Markets, Inc. (Broker): Hi. Great. Thank you. Good morning. Just a follow-up again on access, can you comment a bit on just the kind of the order trends across the nationals or more or so just in terms the independent? I guess, I'm curious there, how they've been dealing with this kind of softer utilization and presumably some have less ability to kind of move their fleet around with the weakness in certain markets. So just curious, one order trends between the two major classes and then in that initial forecast for 2016, which I am sure there is quite bit of guess work forecasting next year and not even out of July, but just what if any kind of underlying shift is assumed in there in terms of the split between nationals and IRCs. Thank you.
Charles L. Szews - Chief Executive Officer & Director: I would say that we're seeing a similar percentage. The last two years as the percentage of growth, IRCs have grown a little faster than the NRCs. This last quarter, we saw similar activity. IRCs continued to buy as did the NRCs. And I would say that the mix hasn't shifted a whole lot. And as you pointed out, it is early for us to really forecast 2016, and what that will look like from a percentage standpoint. We're starting those discussions now. Most of our customers are on a calendar year, and we'll have a little more definitive information for you in October.
Tim W. Thein - Citigroup Global Markets, Inc. (Broker): And just to clarify, that that 5% to 10% number, was that for the segment overall or for the U.S.? I thought I heard different things on that.
Charles L. Szews - Chief Executive Officer & Director: For the segment overall.
Wilson R. Jones - President & Chief Operating Officer: We talked about the international markets being similar to the U.S. into the 5% to 10% decline.
Tim W. Thein - Citigroup Global Markets, Inc. (Broker): Okay. Thank you.
Operator: The next question is coming from the line of Jerry Revich with Goldman Sachs. Please go ahead with your question.
Jerry D. Revich - Goldman Sachs & Co.: Hi. Good morning.
Charles L. Szews - Chief Executive Officer & Director: Good morning.
Wilson R. Jones - President & Chief Operating Officer: Good morning, Jerry.
Jerry D. Revich - Goldman Sachs & Co.: Charlie, it looks like there's been a bit of a shift in the military's focus on investment spending towards your categories. Can you just give us more color on the drivers? And when we look at your full-year guidance for defense, that implies fourth quarter run rate of revenue in the $250 million range at mid-single digit margins, so is that the run rate we should be thinking about for the base FHTV and FMTV business? And then, layer on whatever assumptions we make for M-ATV? Is that the framework at these levels?
Charles L. Szews - Chief Executive Officer & Director: You're in the ballpark in terms of base business, and I wouldn't say that there's been a dramatic shift in the Department of Defense's view to buy more in terms of tactical wheeled vehicles. We just had an inordinately long time to renegotiate the FHTV contract and – in which caused the break in production. So the funding has been visible for some period of time. It's not like the funding levels increased. It's just we finally got the contract negotiated, we can start shipping again. We do see, though, sort of a base level of tactical vehicle spending continuing in North America or in the U.S. for some period of time. Our international M-ATV business growing, but frankly, we're getting a lot of opportunities for other product categories in defense as well globally. We're seeing more opportunities from FMS cases, et cetera going forward.
Jerry D. Revich - Goldman Sachs & Co.: Okay. And in access equipment, you had a number of new product introductions this year. Can you just talk about what's been the overall year-to-date headwind this year as a result of those transitions and what's the new product introduction cadence for next year, how much of that do we get back in 2016?
Charles L. Szews - Chief Executive Officer & Director: So the vast majority of our product launches this year went very well. We just had a lot of them, all right. And if you read – parse through our comments, we say to a much lesser extent was delivery issues, and that's primarily where it's been. We've been able to contain quality to be solid with all of our product launches, some being exceptionally good. We've had a steady cadence all year along, roughly 30 new product launches in 2015. So, it's a hefty year. But in – part of it that was expected, because the telehandler product line, all new engine emission standards changes were coming through this year. So virtually that whole product line we had to upgrade it for engine emission standards. While we were doing that, we upgraded our product line. So the telehandlers have more reach, higher lift capacity, those kinds of things. We've done the same thing with our booms that we've been launching this year. So it's been a robust year. We do expect 2016 to be another robust year, maybe a little bit fewer products, but not many. So it's going to be another big year for us in 2016, and we expect that these products will offer greater features and better performance for our customers as well as contribute to margin expansion.
Jerry D. Revich - Goldman Sachs & Co.: Thank you.
Charles L. Szews - Chief Executive Officer & Director: Thanks, Jerry.
Operator: Our next question is from the line of Mike Shlisky with Global Hunter. Please go ahead with your questions.
Michael David Shlisky - Global Hunter Securities, LLC: Good morning, guys.
Charles L. Szews - Chief Executive Officer & Director: Good morning.
Wilson R. Jones - President & Chief Operating Officer: Good morning, Mike.
Michael David Shlisky - Global Hunter Securities, LLC: Just wanted to touch on access. While we recognize that certainly we could see some production coming down from here, is there anything you can do on the cost side to kind of maybe minimize the margin downside, or have you kind of gone through that over the last two years and now it's just going to come down to up and down leverage on volume and pricing?
Charles L. Szews - Chief Executive Officer & Director: Well, as we've been saying all along that with these product launches, they're intended to also provide margin expansion. And our biggest benefits from these initiatives come in 2016. We've been saying that for at least a year – and but until we prove it to you in 2016, maybe you don't believe it, but it's our expectation that they're going to be high-performing products for customers as well as good-performing for our shareholders as well.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: And it will also – we have some opportunities from the SG&A standpoint that we'll be taking a look at in terms of the remainder of the 2015. It takes a little bit of time to get those implemented. So we'll start to see the benefit of those in 2016.
Michael David Shlisky - Global Hunter Securities, LLC: Great. And then, maybe in the fire business as well, what sort of inning are you in in getting some of those cost efficiencies in the Pierce business, and is it fair to say that we'll see better margins there in 2016 versus 2015 and then 2017 versus 2016 as you get these kind of cost efficiencies done here?
Wilson R. Jones - President & Chief Operating Officer: Yes, Mike, that's the plan. We're getting our operational efficiencies in place, and we've shown improvement the last few quarters and we plan to stay on that plan. If you remember back in 2009, that was a 10% OI business and we're certainly – got a path to get there. We haven't been definitive on the years, because we want to make sure everything we do today we can sustain long term, but that is the plan.
Michael David Shlisky - Global Hunter Securities, LLC: But there still is quite a bit of work to go there, there's some runway left here?
Charles L. Szews - Chief Executive Officer & Director: Oh, yes, yes.
Michael David Shlisky - Global Hunter Securities, LLC: Great. Thanks, guys.
Wilson R. Jones - President & Chief Operating Officer: Thanks, Mike.
Operator: Our next question is from the line of Ross Gilardi with Bank of America. Please go ahead with your question.
Ross P. Gilardi - Bank of America Merrill Lynch: Hey, good morning. Thank you.
Charles L. Szews - Chief Executive Officer & Director: Good morning. Good morning, Ross.
Ross P. Gilardi - Bank of America Merrill Lynch: Hey, Charlie, I'm just trying to understand a little bit more why you're suggesting low double digit earnings growth for 2016, when clearly what's happened today wasn't foreseen a weeks ago. I mean, what kind of defense revenue and earnings growth are you suggesting we model for 2016 when you got a 5% to 10% decline in access? You're saying concrete mixers are slowing and inventories even if you take out the defense are still going to be up. It seems like 15%, 20% year-on-year. So, I just – I'm trying to understand a little bit more the magnitude of what you're saying we should put in for defense, because otherwise it just doesn't – I don't see how you get that type of earnings growth.
Charles L. Szews - Chief Executive Officer & Director: We've been saying it's meaningful, it's significant, and that's what you should assume. That's what we're assuming, all right? I don't know, how many times I had to say that, but that is what our expectation. Now again, let's go back to access equipment. 5% to 10% sales decline, we've made prepared remarks that we expect we can mitigate a substantial piece of that through our O initiatives. So you don't have to recover it all, okay? Just some of it. And you look at hundreds of vehicles of M-ATVs, if you parse through all of our comments, it's pretty clear we're doing that and these are expensive units at decent margin, you can drive some really meaningful growth in earnings in our defense segment. And on top of that, the fact that we got commercial and fire & emergency, which we expect to continue to grow. You make the comment about the mixers orders, but we see that was much more weather-related, construction short-term. We do think that – and as you see the gross numbers, housing getting a little bit better, non-res getting a little bit better. We would expect that going into 2016 that will recover or come back again. Our overall year-to-date numbers and mixers are very solid and they will be for the year. We would expect that to continue into next year so that mixers would grow next year. Our refuse collection vehicle business is doing very well right now in a slowly improving market, but we've been gaining some significant market share with our new product launches and one of our biggest launches is coming up here with the Meridian as we start production of our new light weight front loader that we're taking a lot of orders already and we're not even starting production until January or February 2016. So, you'd expect that to be good. And there is upside even in the defense business. But again, it's early to quantify it too much. We need to have contracts in order and that's why we're being sort of broad range in our overall outlook.
Ross P. Gilardi - Bank of America Merrill Lynch: Got you. And then just one for Wilson maybe, Wilson, could just talk a little bit more about what you're seeing in European access equipment, because that's been one of your strongest growers recently. Is that slow, is Europe slowing down as well and I think you mentioned something about the pricing being tougher in Europe, if I heard that correctly?
Wilson R. Jones - President & Chief Operating Officer: Yeah, Ross, pricing has remained pretty tough in Europe, but the – what I was referencing in my prepared remarks, we had a couple of countries that really went pretty heavy into replacement this past year and we don't expect that to continue next year, but this is we believe will still be good, but just not as robust in a couple of countries that we saw in 2015.
Ross P. Gilardi - Bank of America Merrill Lynch: Got you. Thank you.
Wilson R. Jones - President & Chief Operating Officer: Thanks.
Operator: Our next question is from the line of Ted Grace of Susquehanna. Please go ahead with your question.
Ted Grace - Susquehanna Financial Group LLLP: Good morning, guys.
Charles L. Szews - Chief Executive Officer & Director: Hi, Ted.
Ted Grace - Susquehanna Financial Group LLLP: Wilson, I appreciated the comments on inventory within access equipment. I was wondering could you talk about channel inventory and kind of how we should think about the inventory that's sitting at the dealer and distribution level. Whether you – in dollar terms or months of sales and kind of how long you expect that side of the equation to take to kind of normalize?
Wilson R. Jones - President & Chief Operating Officer: Well, it's anecdotal for us. We don't have a metric that's shared with us. You hear some of the comments that are out there. What we're hearing is mostly ONG has been redeployed. So that's getting better. We are hearing they're not fighting to weather. So absorption has been needed. We believe this is happening pretty fast. I'll give you one reference point, our July is certainly on track with our revised estimates. We're hearing now that on rent is encouraging with rental customers in July. So the surplus that's out there seems to be being deployed pretty fast.
Charles L. Szews - Chief Executive Officer & Director: So just to be even more direct here, we – when we shift, I mean 90% plus of what we're selling certainly in North America is going to rental companies and it goes into the utilization rates right away and they're absorbing it very quickly in the pace their purchases that they can absorb it quickly. And as you read the commentary from similar larger rental companies, we'll see access equipment utilization rates remain pretty good. They were a little bit weak in May that caused us some – of course on orders in late May and June and that impacted us in our year, but they're back to strong levels and should support our purchase going forward. We have very little inventory and it's primarily in telehandlers that go in North America that goes to a dealer and could sit in their inventory and when the national rental companies buy equipment for retail, that's quick turn business for them as well and now like they're buying hundreds of units and sitting them on a lot. So we're not able to capture any of that data, but it's very clear that's almost a pass-through, they give us a – when they get a retail order, they give it to us and it goes out to the customer. We have a little bit more there when you grow globally in terms of – we do have dealers in certain countries, but it's pretty clear, when we go around the world that people aren't sitting on a lot of inventory deals.
Ted Grace - Susquehanna Financial Group LLLP: Okay. That's helpful. And the second thing I was hoping to ask is just and more kind of a refresher on history, if you were to go back to the inflection in your aerials business in the U.S. and think about the mix of national rental companies versus the independents. Could you just remind us kind of like how those two paths have progressed and where you see the national rental companies and their CapEx cycle versus the IRCs? Just so, we can think about how that plays itself out over the next couple of years.
Charles L. Szews - Chief Executive Officer & Director: I think it's been pretty normal. In the weakest times of the market, the NRCs are just a significant piece of the overall spend in the marketplace and the IRCs are relatively small. And as the cycle progresses, the IRCs start to pick up when their balance sheets are stronger and they can buy inventory. And, but we're still at a point where as the cycle progresses in 2016, 2017, and 2018, a lot of – most forecasters are still projecting pretty good residential, non-residential spending through those years, that you'd still see IRCs becoming a bigger piece of those market in each of those years. And that's what we would expect over time.
Ted Grace - Susquehanna Financial Group LLLP: And Charlie, in terms of what's embedded in your 2016 framework of down 5 to 10 in the U.S. for access equipment? Would it be fair to assume that NRCs are down more than that, and IRCs are down less or up? I mean, how would you frame those two groups next year? Because I think that's where a lot of people are trying to figure out -
Charles L. Szews - Chief Executive Officer & Director: I think they're very similar and we've had conversations with a lot of customers. We think we're in a sweet spot of where they're heading. But again, it's still a small sample size, right because they aren't that many talking and there are certainly factors that could move it in multiple different directions. If non-residential spending picks up at a faster pace, then we're going to be at the lower end of that range. And if it still stays low, we're probably at the higher end of that range. But again, for us to be down more than that, it really has to be a turn in the overall global economy and everybody ought to be putting the money into cash.
Ted Grace - Susquehanna Financial Group LLLP: Good luck this quarter, guys.
Charles L. Szews - Chief Executive Officer & Director: Thank you.
Operator: Our next question is from the line of Seth Weber with RBC. Please go ahead with your question.
Seth R. Weber - RBC Capital Markets LLC: Hey, good morning. Just one more on Europe access, Wilson is there any color around the countries that you're talking about, because when we look at the age of the European rental fleets, it's actually quite old. So I was surprised to hear the commentary about the moderating replacement demand. Can you just give us any color on which countries that you're seeing that specifically?
Wilson R. Jones - President & Chief Operating Officer: Yeah, Seth. I'll give you a little more color there. The UK had a really big year. UK was one of the slower countries in Europe to come back and it's always been a big market, so they had a – what we consider a past peak year. So we just don't know that they can sustain that this next year. The initial information we're receiving is still a little gray. So, it could, but we're anticipating that it may dial back to just a tad. And then, the Benelux was very strong this year, stronger than usual. And again, we're looking at – can these markets sustain those levels and those are the two that we're just not sure can do that next year.
Seth R. Weber - RBC Capital Markets LLC: Okay. That's helpful. Thank you. And then, when I look at your – the commercial business, to get to your margin target for this year, I mean the incremental margins in that business are not particularly heroic, are you still seeing some issues on the supply side there with the supply chain or – I mean what – why wouldn't the incremental margins start to be better there given the revenue growth that you're seeing?
Wilson R. Jones - President & Chief Operating Officer: Seth, I think we got a couple of things going on there. We talked a little bit about we are seeing more package units and that's when we sell the body that we manufacture, so that's really our value add – chassis, that's a third-party commercial chassis. I think we've talked in the past that we don't make a lot of money on the chassis, commercial chassis that we supply in those package units. I think the second thing is the continued investment in MOVE initiatives. As you recall, we launched a lot of the MOVE initiatives around the old cost optimization in the access equipment segment. We proved out some of the methodologies there, so to speak and have been subsequent to that rolling those out into the other segments. So, we're seeing commercial more and still in the investment mode from that standpoint.
Seth R. Weber - RBC Capital Markets LLC: And so, should that – should we expect incremental margins to be more typical next year, after you start to harvest some of those investments?
Wilson R. Jones - President & Chief Operating Officer: I think one of the wild cards is going to continue to be, what we see on a body only versus package mix. We do anticipate that we're going to continue to have some additional MOVE investments next year in that, that segment. So, still early as we've said here and we'll provide more color as we firm up our view in terms of what the market looks like and what the mix within that looks like for the October call.
Seth R. Weber - RBC Capital Markets LLC: Okay. Thank you very much, guys.
Wilson R. Jones - President & Chief Operating Officer: Thanks.
Operator: Our next question is from the line of Stanley Elliott with Stifel. Please go ahead with your questions.
Stanley S. Elliott - Stifel, Nicolaus & Co., Inc.: Hey guys, good morning. A quick question on the JLTV, is that the one that was submitted, is that still going to be a single sourced sort of a product where – kind of winner-take-all approach or has there been any mixing as far as technology platforms or anything of that nature?
Charles L. Szews - Chief Executive Officer & Director: It's clearly going to be a single sourced and frankly the volumes aren't adequate to, to go a dual source. So, we're highly confident it will stay single source.
Stanley S. Elliott - Stifel, Nicolaus & Co., Inc.: Okay. And then, in terms of the mixers with that having kind of slowing down, if I remember correctly that is still pretty old fleet out there. Could you help us with kind of the age of the fleet and maybe where we are from prior peak?
Charles L. Szews - Chief Executive Officer & Director: Yeah. Right now, Stan, we kind of estimate we're in that 5,000 range from a annual mixer market. We think it can go up – I'm sorry, I misspoke there, it's about 4,000 truck market right now. We expect that it will move up, it used to be in that 6,000 – in some years we saw 7,000, we don't know that they'll ever get back to that. But it's in that 4,000 unit range right now. And again 6,000 is what we call a normal.
Stanley S. Elliott - Stifel, Nicolaus & Co., Inc.: Great. Thank you very much.
Operator: Thank you. Our last question is from the line of Brian Chan with Bank of America. Please go ahead with your question.
Brian L. Chan - Bank of America Merrill Lynch: Hi, how are you? So just a couple of questions on the defense segment of the business here. One is, you said the first contract that's coming out, you're expecting to sign in next couple of days that's for 150 units. But the one that's for sounds like thousands of units, is that as a near of a certainty as the first contract?
Charles L. Szews - Chief Executive Officer & Director: So, the first contract is for a few hundred of which we would expect to ship 150 in our fourth fiscal quarter and revenue recognitions too close to call. It could be in fourth quarter, it could be in our first quarter. We put it in our first quarter to be conservative in the estimates that you saw today. The second contract is for over 1,000 units, all right. Then we have a few other contracts that are in progress, that are a couple of thousand or more that would fall behind that, all right? So, we got multiple stages here of contract. What was your question about the second one? I'm sorry, I lost it.
Brian L. Chan - Bank of America Merrill Lynch: Yeah, sorry. So, I guess what I meant by that is, like it sounds like this first contract for 150 or couple of hundred units is a near certainty, because it's going to be signed in the next couple of days. But are you as confident about the second contract, because obviously the one (1:03:23)?
Charles L. Szews - Chief Executive Officer & Director: Yeah. So, we've got a letter of credit on the first contract. I mean, we're just waiting for one more signature, all right? In terms of – and that's the first contract. For the second contract for 1,000 plus, we concluded negotiations, there is a contract that has been brought forward and it has a process. And this is next step of this process. Well, they are probably four steps or five steps that we actually go through from this point until we actually have a contract. And that can be as long as sometime mid in the first quarter of 2016 and the year can be compressed because of some more urgent needs in that region. So we can't be too definitively on it. But once it gets through this stage, I think we're highly confident that we're going to have a contract and that we're going to shipping units in 2016.
Brian L. Chan - Bank of America Merrill Lynch: Is that the same buyer between these two contracts or is it a different...
Charles L. Szews - Chief Executive Officer & Director: Yeah. We're not talking about who the customers are here, sorry, but that's privileged and our customer would prefer not to be mentioned.
Wilson R. Jones - President & Chief Operating Officer: Customers.
Charles L. Szews - Chief Executive Officer & Director: Customers.
Brian L. Chan - Bank of America Merrill Lynch: Right. And then I just have one quick follow-up question if I could. So, you're saying that that the defense business will essentially drive earnings growth for next year. In that defense forecast that you guys have, are you guys essentially including any type of – some type of weighted probability of winning the JLTV even that's like on – I think the first year – first couple of years is on LRIP right?
Charles L. Szews - Chief Executive Officer & Director: Right. We're not going to give probability, but we evaluated the leader going into EMD phase. We tested very well. We tested very well. We believe that we have a very competitive offering. We are giving the warfighter next generation mobility, very good survivability. It's really an awesome vehicle and you ought to see videos of it that you probably can see on our website. It's impressive. Having said that, we've been fortunate to win contracts or sometimes we lose them. We're not here to predict it. But we were – again, the leader going into this phase and tested well and we have a competitive offering.
David M. Sagehorn - Chief Financial Officer & Executive Vice President: And it would not – if we're fortunate enough to win and again we think we've got a great offering. It would not have significant impact on our fiscal 2016 results. Just as you mentioned on the LRIP cadence we would start to see that more in 2017 and 2018 and really ramp up starting in 2019 for us.
Brian L. Chan - Bank of America Merrill Lynch: Okay. All right. I appreciate it. Thanks, guys.
Charles L. Szews - Chief Executive Officer & Director: Thanks, Brian.
Operator: Thank you. At this time, I will turn the floor back to management for closing comments.
Charles L. Szews - Chief Executive Officer & Director: Okay. Thank you all for your questions today and for your interest in Oshkosh Corporation. We expect our defense business to be an earnings catalyst for the company in 2016 and 2017 and we also see a nice uptick from commercial in our fire & emergency segment. So, we again believe we have a positive outlook going forward. Have a good day, everyone.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.